Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 2014, Second Quarter Results Conference Call and Webcast. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded, Wednesday, July 30, 2014. I would now like to turn the conference over to John Pearson, Vice President of Investor Relations. Please go ahead sir.
John Pearson: Thank you, operator. Welcome to Centerra Gold’s second quarter conference call. Today’s conference call is open to all members of the investment community and the media in listen-only mode at first. After our formal remarks, we will open the phone to questions. The operator will give the instructions for asking a question. Please note that all figures discussed are in U.S. dollars, unless otherwise noted. With me on the call today is Ian Atkinson, President and Chief Executive Officer; Jeff Parr, Chief Financial Officer; Gordon Reid, Chief Operating Officer and Ron Burk, Vice President of Exploration. Before we begin, I would like to caution everyone that certain statements made on this call may be forward-looking statements and as such are subject to known and unknown risks and uncertainties, which may cause actual results to differ materially from those expressed or implied. Also certain of the measures we will discuss today are non-GAAP measures and I refer you to our description of the non-GAAP measures in the news release and the MD&A. For a more detailed discussion of the material assumptions, risks and uncertainties, please refer to our news release issued last night, the MD&A along with the unaudited interim financial statements and notes and to our other filings, which can all be found on SEDAR and the company’s website. And now, I’ll turn the call over to Ian.
Ian Atkinson: Okay, thank you John and good morning everyone. During the second quarter our operations produced over 92,000 ounces of gold. That brings our year-to-date, the department gold production to over 208,000 ounces. Our all-in sustaining cost for the first half of the year were $1,502 per ounce sold and we’re on track to meeting our 2014 guidance. From a financial front, we reported a net loss of $32 million or $0.13 per share and cash provided by operations for the quarter was $71 million, and for the first six months it totaled $173 million. We have a strong balance sheet with $492 million in cash, cash equivalents and short term investments or $416 million net of our debt. In the Kyrgyz Republic, Kumtor received approvals for its 2014 annual mine plan and that avoided us having to shut down our operations in June. We are continuing to work with the Kyrgyz government to implement the heads of agreement, to restructure the Kumtor Project. We’ve begun to exchange draft definitive agreements. As you’ll appreciate, this is a complex transaction, requiring a number of approvals, including approvals from our shareholders, the Kyrgyz Parliament and the Canadian courts and it will take some time to bring it to a successful conclusion. We’re also continuing our discussions with the Mongolian Government regarding Gatsuurt and remain optimistic the Parliament will address Gatsuurt in the fall session and then the project will receive the necessary approvals to allow it to move forward. Last week the Canadian Foreign Affairs Minister, John Baird visited Mongolia and met with senior officials, including the President and we are very encouraged by the minister support to Centerra and for the Gatsuurt project in the meetings with these officials. Also in Mongolia, subsequent to the quarter end, at Boroo we signed a new two year collective bargaining agreement with the Boroo Trade Union, which takes us out now until June 30, 2016. In Turkey the Öksüt project is progressing very well. The EIA application has been submitted to the Turkish regulatory authorities and the requisite public hearing is scheduled for early August. The feasibility study remains on track for completion in the middle of 2015. So with that, I’ll now turn it over to Gordon for an update on our operations.
Gordon Reid: Thanks Ian. As Ian mentioned, both operations performed well during the quarter and we are on track to meet our production and cost guidance for the year. At Kumtor, gold production for the quarter came primarily from processing ores that have been stockpiled from the fourth quarter of 2013. The increase in recovered gold in Q2, 2014 versus Q2, 2013 was due to processing higher grade ore at a higher metallurgical recovery and at a higher mill throughput than in the earlier period. The recently constructed buttress at the bottom of the Davidov glacier is performing as designed and has been effective in reducing the rate of ice movement to manageable levels. The integrity and performance of the buttress is continuously monitored. Kumtor is on track to meet its guidance for the year and similar to 2013, over half of Kumtor’s gold production is expected to occur in the fourth quarter, where mining will again be in the high grade section of the SP Zone. Boroo continued to perform well during the quarter despite the unscheduled shutdown of the processing plant on May 16, due to the failure of the Boroo mill. On May 22 a work around was implemented that allowed the mill to operate at approximately 50% of throughput until the affairs could be completed. Full production resumed on June 17. Gold production for the quarter was 14,265 ounces, which has us on track to meet our production guidance of 45,000 ounces. For the remainder of 2014 Boroo will continue to process stockpiled ore through the mill and will also continue to operate the heap leach facility. The mill stockpiles are expected to be fully depleted in November. Active heap leaching will continue into 2015 and then transition towards bringing down closure status. I’ll now turn over the call to Jeff to talk about our financials.
Jeff Parr: Thanks Gordon. Good morning everyone. On a consolidated basis, our second quarter revenue of $120 million reflects a 7% lower average realized gold price of $12.85 compared to $13.76 an ounce realized in the second quarter of 2013. During the second quarter we recorded a net loss of $32 million or $0.13 a share. On top of the lower realized gold price, the net loss for the quarter reflects a few additional things. Share based compensation was about $5 million higher due to our increasing share price. DD&A increased and we had a $14 million or $0.06 a share impairment of the stock piled inventory at Kumtor. The inventory adjustment at Kumtor represents the excess of the inventory cost, plus the cost of further processing, over what we estimate we can realize for those ounces when we sell them. It occurs because of the lower number of ounces in inventory that continued to observe normal ongoing operating costs. It is not an indication of unexpected costs and is effectively timing, reflecting the higher cost of those ounces in inventory now, rather than waiting until they sold. During the second quarter the company had a $29 million increase in DD&A compared to the same period last year. This was due to the larger mining fleet we have this year at Kumtor, as well as the fact that we processed higher cost ore from cut-back 15, which required more stripping to access it, than the ore from cut-back 14 processed in the second quarter of last year. The increase in capitalized stripping in turn resulted in increased amortization. We have maintained our DD&A guidance for the year. As Ian mentioned, cash provided by operations in the quarter was $71 million, bring our year-to-day total up-to $173 million. Our cash and short term investments totaled $492 million at the end of the quarter, which includes $76 million outstanding under our revolving credit facility. This is after investing $156 million in our properties, $6.5 million in exploration and paying $17 million in dividends over the first six months of the year. For 2014 we are maintaining our previously disclosed guidance for the year, including our outlook on production, cost and capital expenditures. We have a strong balance sheet, which puts us in a position to take advantage of opportunities that may arise. In addition, we are also maintaining our quarterly dividend. I’ll now turn it back to Ian to wrap up.
Ian Atkinson: Thank you, Jeff. A few comments in summary. Overall the quarter came in as we expected. The company is in a solid financial position. We are continuing to work with the Kyrgyz Government to implement the heads of agreement relating to the Kumtor project. We are optimistic that the Gatsuurt project will receive the necessary approvals to move forward, and the Öksüt project is on track to finalize the feasibility study in the middle of 2015, and we are on track to meet to meeting our 2014 guidance.  So operator, with that let’s open up the call for questions. So would you please give the instructions on the process for the question-and-answer session.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Andrew Breichmanas with BMO Capital Markets. Please proceed.
Andrew Breichmanas - BMO Capital Markets: Thanks and good morning. I was just wondering if maybe you could take us back through the process of getting the mine approvals. Can you just go through that and do you have any sort of clarity on improvements of that process in future years?
Ian Atkinson: Yes. Good morning Andrew, it’s Ian. I can walk you through that. I mean it is an annual mine approval process that we have been going through every since this operation started in 1997, and the normal process is that in December of the year, prior to the one that we are seeking approval for, we submit the annual mine plan for the following year. And on submitted, we then have discussions with the two agencies that we’ve submitted to, which is the State Agency of Geology and State Agency of Environmental Protection and Forestry and so the necessary questions provide whatever additional information they may require and then certainly in the past we then received approval of the mine plans and always within the first quarter. I think we’ve had a couple of times in the 16 year history where it’s moved into the second quarter, but not very far. This year we went through the same process and submitted the plans in December and we were asked for additional clarity and we had the matter related to the Buttress, so we were asked for additional information on that. We provided all that information as we have in the past, promptly, and everything was in the state agency’s hands by March. But we were still waiting for approval, April, May and through into June and we could not get approval plans, so that’s why we took some steps saying that we need to have the permits approved to allow us to continue operations. As you can expect, having deviated from past procedures, we worked diligently with the government to try to move the process forward as quickly as possible, but had to take some steps in the end to ensure that we continue to – we would receive the plans that would allow us to continue operations appropriately.
Andrew Breichmanas - BMO Capital Markets: Thanks.
Ian Atkinson: With respect to going forward, again the process is being well established, the issues that developed this year. Some of those as we have pointed out were related to the potential glacier law that was causing some inaction within these state agencies, environmental protection, forestry in particular. The glacier law has now actually been turned back to Parliament for further consideration by the President and in other activities related to come to work. Again, we have addressed any of the issues that is raised. We did that early in the process, so I think we’ve again established that we are following procedures as have been outlined and we have done for the last 16 years. So we are updating things like the State Reserve as required and updating the like with mine plan as required, which again are routine matters in the country that we will take care of again this year, so that everything’s in place at the end of the year when we apply for the mine plan for 2015.
Andrew Breichmanas - BMO Capital Markets: Thank you, and may be just a couple of questions on the capital expenditures, especially Kumtor. I guess to the first six months, capital stripping was $175 million and from memory I think the budget for the year was about $190 million. So it seems like you’re making pretty good progress on that. Could you just may be talk about how cut-back 16 is going and when you expect to access high-grade ore in Q3?
Ian Atkinson: Certainly the progress on the cut-back 16, I can address and specifics of the stripping, may be like capitalizing the stripping, let Gordon or John or Jeff address. But cut-back 16 is actually on track. It’s right as we planned at the start of the year. We had no progress moving that one forward at all this year and we are on schedule to access the SB Zone in about the middle of September. So we’ll be in a position to start processing the higher grade material through the mill in the fourth quarter. So we are on track to meeting our guidance there, quite clearly. Jeff, have you got any comments on Andrew’s question with regard to the amount? 
Jeff Parr: In the six months we capitalize about a $124 million. I’m sorry, that was past quarter. So including non-cash, it was about a $175 million. Off the top of my head I don’t recall the budget, but we are certainly on track with that.
Andrew Breichmanas - BMO Capital Markets: Okay, and then I guessed the follow-up to that is on the growth capital. A large part of the budget at Kumtor was the relocation of infrastructure I believe. Has that been completed or is that still ongoing?
Gordon Reid: This is Gordon, Andrew. The infrastructure project is still ongoing. That $31 million is the 2014 component. We’ll be working through to the end of the year and then there will be an additional component in 2015 as well that will be budgeted in the 2015 budgetary process.
Andrew Breichmanas - BMO Capital Markets: Okay. Thanks very much.
Gordon Reid: Thanks Andrew.
Operator: Our next question comes from the line of Alec Kodatsky with CIBC. Please proceed.
Alec Kodatsky – CIBC: Good morning everyone. Just the quick question with respect to remarks you made in the opening. Looking at sort of (inaudable) some time for the process to play out and reach a final agreement, just curious, sort of what you’re thinking at in terms of when a definitive agreement might come through and then I guess more clearly, what are the steps to get a final resolution in place and then sort of an extension to that. What, if any role does Parliament play in achieving a definitive agreement?
Ian Atkinson: Alec, I’ll address that. Where we’re at with the process, we have provided the Kyrgyz government with a road map going forward, outlining all of the agreements that are necessary to complete the transaction. We are in the process of drafting all of those agreements and providing them to the government and we’re well into that process and have been now since late April, early May, and as we provide them, obviously then we’ll get into discussions over finalizing that documentation. Once it is finalized and agreed to by both sides, it would then have to go through a approval process by the Kyrgyz Parliament. All of the agreements have got to be reviewed and approved by the Parliament after the government, and its working group to finalize negotiations with ourselves. That timeline for that really depends on how quickly we can move, what are actually is 14 agreements we need to complete. On our side is once Parliament is approved, the documents, we then will have to go through Centerra’s approval process, which is essentially our special committee and then the Board of Directors and then the key then is through a plan of arrangements seek shareholder approval for the transaction and then approval of that plan of arrangement by the Canadian courts. And that latter process is fairly will defined in terms of timeframe under the regulations that apply to Canadian listed companies. So the time frame for completion of documents, we are working as quickly as we can on that to move it forward with the Kyrgyz government and the working group and then the timeframe for parliamentary approval is something that we wouldn’t have any control over it. But again, I think the Kyrgyz government want to move as forward as quickly as possible, so they would like ourselves I think try to do it in the shortest timeframe possible.
Alec Kodatsky – CIBC: Okay, great. Thanks for that, and just curious, it looks as though you’ve been making a little bit of headway with respect to the environmental claims that have been outstanding. Just sort of curious, where I guess the remainder of those are at and sort of I guess your view on how that processes is unfolding?
Ian Atkinson: Actually there’s not really been any change in the status of the environmental claims. As we’ve always said, we think they are unfound and unmerited. We’ve responded to all of the claims directly with the appropriate state agencies. The agencies of in-steps to try to have the claims supported by the Kyrgyz courts and certainly in the ones that have been gone through court hearings to-date, they’ve been rejected and I believe that we’re now with a couple of those to the final third level of legal review of the agencies claims in the Kyrgyz Republic and we’re waiting for the courts again to rule on those. So again, we continue to maintain our position on the claims that are unfounded, unmerited if no substance and will again, continue to work with the government to try to get the issues addressed and get the matters settled.
Alec Kodatsky – CIBC: Okay, great. That’s it from me. Thanks.
Operator: (Operator Instructions). Our next question comes from the line of (inaudible) with HSBC. Please proceed. 
Unidentified Analyst : Hi, I have a quick question on Gatsuurt. There seemed to be there had been a push from the government obviously during the business summit in June and it was also added to the, attempt I guess to get to the Parliament’s agenda given the recent Parliamentary session. Can you give us a little bit more color of whether the project has even been reviewed by the Parliament? Were there any discussions whatsoever on the Parliamentary levels and when do you expect those discussions to resume given that the fall session starts probably at the end of October?
Ian Atkinson: We, yes have been in discussions actually for some time with the Mongolian government and certainly have I think got the majority of the government members support. The concept of moving Gatsuurt forward by having it declared strategic and certainly the government wanted to have Gatsuurt on the Parliamentary agenda and tried to make that happen in the last Parliamentary session. Unfortunately it weren’t successful. There were some other issues that aroused that took precedence and again, we are continuing discussions with the government and again, working forward to have Gatsuurt put on the agenda for the upcoming session, which you said correctly, start late September early October. So we are hoping again with the current government support that we have, and then so particularly with again the support we got from the Canadian government to the Minister of Foreign Affairs, Mr. Baird in the country last week, that we will continue to get support from all of the government members and thereby through Parliament to get it approved this fall.
Unidentified Analyst : Thank you, Ian and just a quick follow-up question. I think there was another project, the base metals projects that the government tried to put on Parliamentary agenda. Do you know if that project has been approved or even reviewed by the Parliament?
Ian Atkinson: I’m actually not aware that there’s actually any other project going before Parliament at this point in time. Jeff? 
Jeff Parr: There was a copper project that had reached the agenda, but that was already strategic and they were just trying to sort out the ownership of it. So they weren’t waiting for that project to be declared strategic. It had already been done and it was just a discussion on ownership. 
Unidentified Analyst : I understand. Okay, thank you so much.
Operator: (Operator Instructions). The next question comes from the line of Trevor Turnbull with Scotia Capital. Please proceed.
Trevor Turnbull - Scotia Capital: Hello Ian. Just wondering, with the Stans Energy arbitration that happened, where they’ve been awarded some damages against the Kyrgyz. I just wondered if that has been something that you noticed the government talking about and because they have shares in Centerra, which obviously is an Ontario and Canadian listed company, I wondered if it seems to bring any sense of urgency to them to try and get the JV deal finalized and not have that exposure to Canadian equities?
Ian Atkinson: Yes Trevor. I mean yes, we are aware of the Stans Energy arbitration case and the award that they have currently made against the Kyrgyz government. With respect to the discussions between Stans Energy and the government, again beyond what Stans have published, where we are like anyone else, I think we do know they are in discussion with the government. They have been given the award, but it’s also said that they would like to negotiate a settlement involving the properties. I would assume the government again like an in-house would want to progress that sort of thing as quickly as possible, but we are not privy to any of that, so I really can’t comment on it much beyond what we see in the public disclosure.
Trevor Turnbull - Scotia Capital: Okay, and just changing gears a little bit, a quick question with respect to Turkey. I assume with the feasibilities and things moving ahead on Öksüt, you’ve been taking a look at how permitting has been going for some of the guys. Do you have a sense of what kind of permitting time lines you might be faced with for that project when it comes time? Are you optimistic it will be fairly straight forward or are you a bit worried that things are bogging down in Turkey on the permitting front?
Ian Atkinson: All right, so far this year, I mean our experience has gone well. We did as I think you know many, not many, all of the mining companies applied for drilling permits and another surface disturbance permits in 2013 that were challenged. We got the majority of our permits approved in early March and have now applied for some additional permits. So we are actively drilling on the property as you’re aware. So that part of the process has moved forward this year extremely well. We also, as I have indicated, we have submitted our EIA application and that processes has moved very quickly to the extend they’ve already set the date for the public hearing for the first week in August and things are moving as quickly as we expected basically. The actual permitting timeline to get your EIA approved was actually tied to your mine license and we were issued that in January 2013, so you have three years to get that process completed. So we are half way through that timeline and you know again, we are on track to meet the requirement to have all of the work completed and submitted to the government in the fourth quarter of next year.
Trevor Turnbull - Scotia Capital: Okay, sounds good. That’s all I had, Thank you Ian.
Ian Atkinson: Okay. Thanks Trevor 
Operator: Our next question comes from the line of Jonathan Guy with RBC. Please proceed.
Jonathan Guy - RBC Capital Markets: Hi guys. Could you just run through the dividend claim and the potential implications of it set out on the major level of the results?
Ian Atkinson: Jonathan, yes, it’s Ian again. Yes the dividend that’s been challenged by or investigative right now by the general prosecutor is a, from our perspective just an ordinary course of business. It’s a dividend transfer between 100% held subsidiary, which has – they come to a gold company in Centerra and in the normal course of business, we transfer funds from and to entities as required. 
 : And again, we’ve done this many times in past, not only with Kumtor, but also with Boroo. It’s a routine way of doing business. Unfortunately because of where we’re at with negotiating the heads of agreement and other things, Kumtor comes under a lot of scrutiny and certainly some people have seen that transaction differently, and there is some thoughts that it impacts the valuation use for the negotiations of the heads of agreement, but that’s not the case at all, that was all taking into account. In the negotiations we have explained that to the Kyrgyz Government and even to the general prosecutor. So again, we are working with the prosecutor’s office to provide them whatever information they need to demonstrate that the transaction was within the Kyrgyz legislation. It’s just a routine business kind of transaction and it does not impact the heads of agreement.
 : And again, we’ve done this many times in past, not only with Kumtor, but also with Boroo. It’s a routine way of doing business. Unfortunately because of where we’re at with negotiating the heads of agreement and other things, Kumtor comes under a lot of scrutiny and certainly some people have seen that transaction differently, and there is some thoughts that it impacts the valuation use for the negotiations of the heads of agreement, but that’s not the case at all, that was all taking into account. In the negotiations we have explained that to the Kyrgyz Government and even to the general prosecutor. So again, we are working with the prosecutor’s office to provide them whatever information they need to demonstrate that the transaction was within the Kyrgyz legislation. It’s just a routine business kind of transaction and it does not impact the heads of agreement.
Jonathan Guy - RBC Capital Markets: Thank you. And the actual amount involved here is.
Ian Atkinson: The dividend transfer was $200 million.
Jonathan Guy - RBC Capital Markets: Thank you.  
Operator: And Mr. Pearson, there are no further questions at this time. I will now turn the call back to you. Please continue with your presentation.
John Pearson: Okay, since there is no further questions, we thank everyone for joining us today and thank you for your interest in Centerra Gold.